Operator: Welcome and thank you for standing by. At this time, all participants are in listen-only mode. [Operator instructions]. Today's call is being recorded, if you have any objections, you may disconnect at this time. And I'd like to turn the call over to Whit Kincaid, Vice President of Investor Relations and Corporate Development.
Whit Kincaid: Good morning, everyone. Thank you for joining us on Mueller Water Products First Quarter of 2022 Conference Call. We issued our press release reporting results of operations for the quarter ended December 31, 2021 yesterday afternoon. A copy of the press release is available on our website, muellerwaterproducts.com. Scott Hall, our President and CEO, and Martie Zakas, our CFO, will be discussing our first quarter results, market conditions, and our current outlook for 2022. This morning's call is being recorded and webcast live on the Internet. We have also posted slides on our website to accompany today's discussion and to address forward-looking statements and our non-GAAP disclosure requirements. As a reminder, we have changed our management structure and segment reporting effective October 1, 2021. We filed an 8-K in January, where we provided the recast of historical quarterly results for 2020 and 2021. This is our first-quarter reporting our new segments for Water Flow Solutions and Water Management Solutions. At this time, please refer to Slide 2.  This slide identifies non-GAAP financial measures referenced in our press release. On our slides and on this call and discloses the reasons why we believe that these measures provide useful information for investors. Reconciliations between non-GAAP and GAAP financial measures are included in the supplemental information within our press release and on our website. Slide 3 addresses, forward-looking statements made on this call. This slide includes cautionary information identifying important factors that could cause actual results to differ materially from those included in forward-looking statements. Please review Slides 2 and 3 in their entirety. During this call, all references to a specific year or quarter unless specified otherwise, refer to our fiscal year, which ends on the 30th of September. A replay of this morning's call will be available for 30 days at 186640312903. The archived webcast and corresponding slides will be available for at least 90 days in the Investor Relations section of our website. I'll now turn the call over to Scott.
Scott Hall: Thanks, Whit. Thank you for joining us today. I hope everyone listening to our call continues to stay safe and healthy. I am very encouraged by the start to our year as our team members delivered strong net sales growth in the quarter, while continuing to face challenges from an extraordinarily difficult operating environment. This year's sales growth at both segments benefited from increased volumes at higher pricing across most of our product lines. With healthy demand levels in our primary end markets, we again experienced strong orders in the quarter leading to record backlog at the end of the quarter. We remain focused on serving customers in the face of the continuing operational challenges from higher inflation, labor availability, and supply chain disruptions. Despite these obstacles that have increased costs, adjusted EBITDA increased 6.3% in the quarter. The anticipated margin compression this quarter primarily resulted from the lag between the timing of inflation and our price realization. Through the ongoing inflationary pressures, we again increased prices across the majority of our products during the first quarter, which along with the pricing actions we took in 2021, we believe will help improve margins.  We have a strong balance sheet and cash position. Finishing the quarter with over $200 million in cash outstanding and net debt leverage of 1.2 times. During the quarter, we generated positive free cash flow and repurchased $20 million of common stock. Most importantly, based on our solid first quarter performance, we are raising our annual guidance for both consolidated net sales and adjusted EBITDA growth. While we expect challenges associated with higher inflation supply chain disruptions and labor availability to continue in 2022, we are confident that we can make progress on our operational initiatives to deliver enhanced results. With that, I'll turn the call over to Martie to discuss our first quarter results.
Martie Zakas: Thanks, Scott. Good morning, everyone. I will start with our first quarter, 2022, consolidated GAAP and non-GAAP financial results, then review our segment performance, and finish with a discussion of our cash flow and liquidity. During the first quarter of this year, we generated consolidated net sales of $272.3 million, which increased $34.9 million or 14.7% compared with the first quarter of last year. We increased net sales in both segments, Water Flow Solutions and Water Management Solutions. Both segments benefited from higher pricing and increased volumes as we continue to ship against record backlogs. Gross profit this quarter increased $9.2 million or 11.7% to $87.6 million compared with the prior year, yielding a gross margin of 32.2%. While gross margin decreased 80 basis points compared with the prior year, it increased 300 basis points sequentially. The benefits of higher pricing and increased volumes were more than offset by continued higher inflation and unfavorable manufacturing performance, associated with labor challenges, supply chain disruptions, and our plant restructurings. Our total material costs this quarter increased 21% year-over-year, primarily driven by higher raw material costs, which also increased sequentially. As a result of the lag between the realization of our price increases and inflation, our price cost relationship was negative for the fourth consecutive quarter as expected. Selling general and administrative expenses of $56.3 million in the quarter increased $7.1 million compared with the prior year.  The increase was primarily a result of investments in new product development. The addition of i2O Water, IT related activities, personnel-related costs, general inflation, and higher T&E from increased activity relative to the temporary savings last year due to the pandemic. SG&A as a percent of net sales was 20.7% in the quarter and in the prior year. Operating income of $28.9 million increased $1.1 million or 4% in the quarter, compared with $27.8 million in the prior year. Operating income includes strategic reorganization and other charges of $2.4 million in the quarter, which primarily relate to our previously announced plant restructurings and the [Indiscernible] tragedy. Turning now to our consolidated non-GAAP million in the prior year. Higher pricing and increased volumes more than offset higher costs associated with inflation and higher SG&A expenses. Adjusted EBITDA of $47.5 million increased $2.8 million or 6.3%. Our adjusted EBITDA margin was 17.4%, which is 140 basis points lower than the prior year, yielding an 8% conversion margin. For the last 12 months, adjusted EBITDA was $206.4 million or 18.1% of net sales.  Net interest expense for the quarter declined to $4.3 million compared with $6.1 million in the prior year. The decrease in the quarter primarily resulted from the refinancing of our 5.5% senior notes with 4% senior notes. The effective tax rate this quarter was 24.2% compared with 25.8% last year. For the quarter, we increased adjusted net income per share, 18.2% to $0.13 compared with $0.11 in the prior year. Turning now to segment performance starting with water flow solutions, which consists of our iron gate valves, specialty valves, and service brass products. Net sales of a $154.9 million increased $26.1 million or 20.3% compared with the prior year.  Primarily due to increased volumes and higher pricing. Our gate valves and service brass products experienced double-digit net sales growth compared to the prior year. Specialty valve shipments were impacted by the ongoing facility consolidation in addition to supply chain challenges, primarily related to extended lead times. Adjusted operating income of $31.3 million increased $8.1 million or 34.9% in the quarter as higher pricing, increased volumes, and favorable manufacturing performance were partially offset by higher costs associated with inflation and higher SG&A expenses. Adjusted EBITDA of $38.7 million increased $8.1 million or 26.5%, leading to an adjusted EBITDA margin of 25% compared with 23.8% last year. Moving onto Water Management Solutions, which consists of fire hydrants, repair, and installation, natural gas, metering, leak detection, pressure control, and software products. Net sales of a $117.4 million increased $8.8 million or 8.1% compared with the prior year primarily due to increased volumes and higher pricing. Fire hydrants and repair and installation products experienced double-digit net sales growth compared to the prior year. Sales of meter and control valve products were constrained by a variety of headwinds, including shortages of electronic components, extended lead times, and production challenges.  Adjusted operating income of $11.5 million decreased $5.5 million in the quarter, as higher pricing and increased volumes were more than offset by higher costs associated with inflation, higher SG&A expenses and unfavorable manufacturing performance. Adjusted EBITDA decreased $5 million to $19.2 million in the quarter, leading to an adjusted EBITDA margin of 16.4% compared with 22.3% last year. Moving on to cash flow. Net cash provided by operating activities for the first quarter decreased to $19.8 million, compared with $34.1 million in the prior year. The decrease was primarily driven by higher inventories, which increased 13.5% in the first quarter. Average net working capital, using the five point method as a percent of latest 12-months net sales, improved to 25.4% compared with 28.8% in the first quarter of last year. We invested $11 million in capital expenditures during the first quarter, compared with $15.6 million spent in the prior year. Free cash flow for the quarter was $8.8 million compared with $18.5 million in the prior year. During the quarter, we repurchased $20 million of common stock in the open market, and as of the end of the quarter, we had a $115 million remaining under our stock repurchase authorization. At December 31, 2021, we had total debt outstanding of $446.9 million and total cash of $207.3 million. At the end of the first quarter, our net debt leverage ratio was 1.2 times.  We did not have any borrowings under our ABL agreement at the end of the quarter, nor did we borrow any announced under our ABL, during the quarter. As a reminder, we currently have no debt maturities before June 2029. Our 4% senior notes have no financial maintenance covenants, and our ABL agreement is not subject to any financial maintenance covenants, unless we exceed the minimum availability thresholds. Based on December 31st, 2021 data, we had approximately $133.8 million of excess availability under the ABL agreement. Which brings our total liquidity to $341.1 million. We continue to have a strong flexible balance sheet with ample liquidity and capacity, to support our capital allocation priorities. Scott, back to you.
Scott Hall: Thanks Martie. I will touch on our first-quarter performance, ESG, end markets and updated full-year 2022 guidance. After that, we'll open the call up for questions. We sequentially improved our gross margin s in the first quarter, compared with the fourth quarter of last year. This improvement was primarily driven by one-time items experienced in the fourth quarter, as our margins were impacted by many of the same challenges we discussed last quarter, Due to continuing higher inflation, labor availability, and supply chain disruptions, gross margin was lower compared with the prior year quarter. Although raw material inflation for brass and scrap steel appears to be stabilizing, overall material inflation increased again sequentially in the quarter, partly due to the ongoing challenges with the supply chain disruptions. In order to meet customer demand, our supply chain team has focused on acquiring parts from alternative suppliers where needed. And in some cases, using alternative parts or materials to help ensure availability for production. These decisions to acquire imports to maintain production, led to significantly higher input costs for certain components. Additionally, labor availability at the plant continues to be a significant challenge, especially in the southeastern part of the United States. Absenteeism remains elevated at many of our plants due to the ongoing impact of COVID-19 in addition to hiring challenges.  To address labor availability, our manufacturing teams are offering enhanced benefits and incentives. Finally, similar to last quarter, we continue to experience higher freight and energy costs which impact our foundries. As noted earlier, our price cost relationship was negative in the first quarter, and has been negative for four consecutive quarters. To help address the ongoing inflationary pressures, we again increased prices across the majority of our products during the first quarter of this year. Record backlogs are extending the timing for the price realization benefits. So much of our most recent price increases will not benefit us until the fourth quarter of this year. However, multiple price increases from last year should drive sequential improvements in price realization in 2022.  As a result, we expect price realizations to improve sequentially in the second quarter, resulting in nearly a flat price-cost impact. We anticipate the price-cost will be positive in both the second half of the year and for the full year, which will help improve margins. With this outlook, we are also assuming that raw material costs and other inflationary pressures do not continue to worsen. As a result of the timing and magnitude of the inflationary cycle starting in early 2021, as well as record backlog, we do not expect price-cost to be breakeven over the inflationary cycle until 2023.  However, as a reminder, over the entire inflationary cycle, our goal is to have price increases more than cover inflationary expenses, and preserve margin. I will now turn to ESG. In January of this year, we released our second ESG report, highlighting our strategy initiatives, annual performance targets and goals. Our long-term environmental goals for waste disposal and greenhouse gas emissions, are aligned with our business strategies to create a safer and more sustainable environment. We're very excited about our new brass foundry, which is scheduled for completion in 2023. The new foundry will enable us to pour a new lead-free brass alloy, which is a noteworthy advancement in sustainability for our customers and end-users. As we strive to become a sustainability leader in our industry, we are committed to delivering smart products that are safer for the environment and more efficient for our customers while also minimizing our water and energy footprints. Turning to our end markets. Overall in our first quarter, we continued to experience healthy order activity relating to both in municipal repair and replacement and new residential construction end markets. We believe distributor inventory levels have increased due to higher inflation, anticipated end market demand, and extended project delivery timelines due to the supply chain constraints and labor availability. For the new residential construction end markets, inflation and supply chain disruptions are extending builder timelines. However, builder confidence remains high due to low inventories and buyer demand. For the municipal end market, repair and replacement activity is extremely healthy constraints.  Most importantly, we're not seeing any cancellations. Our customers are providing feedback about the new federal infrastructure bill and its impact on their plans. We continue to be excited about the long-term positive impact that we believe the bill will have on the aging water infrastructure in the U.S. As a reminder, we have not included any benefits from the bill in our assumption for 2022 guidance. I will now discuss our current expectations for 2022. Based on our solid first quarter performance, we are raising our annual guidance for both consolidated net sales and adjusted EBITDA growth for fiscal 2022. We believe that our current backlog pricing actions, and strength of our end markets, together support our growth and expectations. We anticipate the consolidated net sales, and adjusted EBITDA will both increase between 6% and 10% for the year. This outlook assumes the following; price realization continues to improve sequentially, we achieve nearly a flat price cost impact in the second quarter. Price costs is positive both in the second half of the year and for the full year. Finally, raw material costs and other inflationary pressures do not continue to worsen. We had had a solid start for the year for free cash flow generation. While our annual guidance for capital expenditures points to an increase in quarterly spending from the rest of the year, we expect to generate positive free cash flow for the full year.  It conclusion, we remain focused on executing our strategic initiatives to grow and enhance our business. These initiatives include accelerating new product development, driving operational excellence, executing key capital projects, developing and expanding our Sentryx software sensing and control platform, and implementing sales and channel strategies. We are excited about our new management structural reporting segments. We believe they will help promote the execution of our strategic initiatives and position us for improved long-term growth and increase margins, while helping to accelerate the commercialization of our technology-enabled products and software platform. Our commitment to advancing our ESG goals will remain at the forefront of how we operate our business as we strive to positively impact our world. Finally, we will continue to take a balanced approach to our cash allocation strategies, focusing on reinvesting in our business, accelerating growth through acquisitions, and returning cash to shareholders through our quarterly dividend and share repurchases. We are confident that our growth strategies, capital investments and operational initiatives will enable us to drive sales and adjusted EBITDA growth. And with that Operator, please open this call for questions.
Operator: The phone lines are now open for questions. If you would like to ask a question over the phone, [Operator Instructions]. The first question in the queue is from Deane Dray with RBC Capital Markets, your line is now open.
Deane Dray: Thank you. Good morning, everyone.
Scott Hall: Good morning Deane.
Martie Zakas: Good morning.
Deane Dray: Hey, I really like the new segment reporting, it's intuitive, and thank you for getting all of the restatements too, because that was a big help. So, I'll just go on record saying I will miss having technologies as a separate segment, we still like that -- what that business was, these important startup technologies in smart water. So I know you still have those businesses, but I do like the new segment reporting.
Scott Hall: Thank you.
Deane Dray: All right.
Scott Hall: As much as we can go swiftly.
Deane Dray: Yes. Let's start with the top line and demand significantly in Water Flow better than we were expecting. Was there any kind of budget flush that you benefit from? And then also on the utilities we had heard some grumblings that utilities, given the infrastructure bill, we're going to be a bit hesitant about what they were going to be spending in terms of projects until they got better line of sight, whether the government was going to be handing them a check. So has there been any delays that you've seen in project spending along those lines and just what's driving this nice upside demand this quarter?
Scott Hall: I think that the demand profile, I think communities are relatively flush with cash right now as a result of CARES Act, never mind the infrastructure bill. I do think that in these early days, there will be a pause on job led by municipalities and municipal water, as a result of the bill being passed. You'll remember back the American reinvestment in Recovery Act. We basically saw stall van and when we first had the new administration in 2017 takeover, they talked about infrastructure and I think that pause to market as well. Because I think people want to understand how, they make their projects qualify for some of this spending.  I also think that, the longer-term view though for me, infrastructure bill, should be a cause for people to be excited about the long-term positive impact. When you think about aging infrastructure, and you think about what elements have been allowed in this thing in particular, the re-authorization for the existing infrastructure budgets that add $550 billion to new federal spending over -- over the next five years. And so, all in all, I think those things are good. But to get back to your original question, Deane, I think in the short-term, the pricing activities we've taken, the resilience in the new construction, new home market, and the fact that [Indiscernible] have relatively flush coffers, still from the July money that was injected as a result of the CARES Act, make us feel confident that the second half of the year will feel too much -- too bumpy as a result of people not having jobs qualify for federal infrastructure dollars. Our orders in a quarter were greater than our shipments, so we grew backlog again in the quarter.
Deane Dray: Good. My brother have you be in a position of trying to explain stronger demand and otherwise, so that's good. And then second question on price costs. You gave really good specifics on the raw material increase sequentially, but not a lot of specifics on pricing. Just what was price realization in the quarter, what are you baking in for the year?
Scott Hall: That's a tough question because the announced increases versus who is booking, is it mostly distribution retrospectively, I think between 5% and 7%, I think is what the first quarter looked like in realization. And as you know, we've taken a series of price increases over the past 15 months. And some of those orders, depending on the timing of them, they get compared to our reference period of the quarter from the previous year. So sometimes it's unknown what you're going to realize in your comp to comp, if you will, from what's in the backlog versus what you ship. So the way we're thinking about it, is that we've got a fairly good handle on what brass, steel, and components look like in our Q2. We know what the near-term load is from our Q2 shipments, and so that's why we're saying that we need this to be around break even.  We need to get a lot of these older orders that are in our backlog at lower prices purged through the system. So to answer the question directly, I think for the first quarter was between 5% to 6%, something like that realized I would expect that to improve a couple of 100 basis points or so, in the second quarter. But ultimately by the time we get to 2023, I'll say to all investors -- if you'd follow the previous comments, we have about $20 million that we have to go get in price to get the $40 million a price to go get back to break even, before we offset the dilution effect. As a result of the quarters that were negative price costs in 2021.
Deane Dray: That's really helpful. Just a last one, it's a clarification. And it sounds as though you cannot re-price backlog, wouldn't there be some escalators tied to CPI, something like that that would give you some flexibility or you just stop with the terms of the original order?
Scott Hall: So that's -- two different answers to that one. Things like our AMI orders, things like our multiyear supply for projects that have long tails on them, yes, those have price escalators in them and indexes that allow us to go back into these windows and re-price the jobs based on indexes that we've agreed to with customers. The problem we have is the majority of our backlog is in the short-cycle business. It's in the distributor order business, and that is not being re-priced. And I remind everybody that it's been our experience, but yes, through the inflationary cycle, this is a little bit painful. But on the other side of it, once you see stabilization or you start to see raw materials and component start to fall back from their peaks, generally that becomes -- margin increases for us and our conversions go up, as we're not giving that price back, our price increase philosophy for the past 30 or so years has been to be measured, to put it through and not to retreat from price increase levels. Now obviously it's something shock the system. There could be a difference, but we anticipate all the price we put through in these past price increases, including the ones that we did in the fourth quarter, that we will -- we will be benefactors, if you will, once the inflationary cycle has brought back under control.
Deane Dray: That's really helpful. Thank you.
Scott Hall: Thank you Deane.
Operator: Next question is from Bryan Blair with Oppenheimer. Your line is now open.
Bryan Blair: Thanks. Good morning, everyone.
Scott Hall: Good morning Bryan.
Bryan Blair: I was hoping you could offer a little more insight into the specialty valves operating trends. Obviously, some challenges there. Last quarter, that, I suspect, extended into this quarter. Has there been a catch-up on shipments? How did productivity metrics and the impact of temporary costs compare to Q4? And how should we think about those variables over Q2, Q3?
Scott Hall: Okay. Great question. Thanks, Brian. The way people should think about it is yes, we've had some marginal improvement. We've had an uptake probably in the 5% to 7% range in productivity, from the labor that's there, we're getting more throughput than we had in the fourth quarter. But, the headwind that we saw in Q4, when we ended date of the plant with volume, and we were still trying to close the Aurora plant. The Aurora plant is still open. And so basically you've got those double costs in our Q1 results, and that will continue into our Q2 results. And so as I said, in our fourth quarter call, we got to the one-timers out of the way. We had some sequential operating improvement in specialty. But the headwinds of the $5 million or $6 million that we outlined in Q4, four or so of that is still around. And that will get better over time as we reduce headcount and reduce reliance on our Aurora facility.
Bryan Blair: I appreciate the color. And in terms of the infrastructure bill, we know that's not factored into your fiscal 22 outlook, but you mentioned customer feedback on the potential are likely lift in terms of their spending plans, if we look to your fiscal 23 and beyond, how's your team's thinking about what that will mean for Mueller business and in which of your individual businesses should we expect the most meaningful catalysts?
Scott Hall: Well, it's I think it's going to be broad based. If you look at a $12 billion each for drinking water, clean water, state revolvers, $15 billion for the lead line replacement, $10 billion for the modernization. Undeserved or lower-income communities, better access. It doesn't matter whether you are making a fire hydrant, or you're making a gate valve, or you're making something smart, there's $6 billion set aside for smart water initiatives. So the whole thing is going to be really, but obviously the greatest need is going to come, in the distribution network underground. So I believe, that the Water Flow Solutions business, when you look at the size of dollars and size of needs. Even though technology starts from a smaller number, and you think about our smart hydrants and you think about things like flushing technologies and all of that, they will get benefit from this. But yeah, I think that the power alley of the business in the distribution network will be the biggest benefactor over the next eight years that more dollars will funnel into it, in aggregate because of the nature of the breakdown of the quality of the infrastructure. There is no amount of technology that's going to get us away from meeting pipes and valves and reroutes of infrastructure that is aging at that 70, 75-year mark.
Bryan Blair: That'll make sense. And then circling back on your recast segment structure, the rationale and the shift in external reporting certainly makes sense. Internally, what changes have been made in terms of leadership or operating structure, and how those changes impacted the day-to-day of Mueller so far? And what's expected going forward?
Scott Hall: Great. Thanks. Look, I think that the team did a really good job before the reorganization, trying to put out there big Mueller Water Products hat and do the right things. But it was it was a little bit not what you would expect. So if you thought about a flushing technology like a hydro guard, using what was in the technologies teams, some of their circuits, the software interfaces, their resources to write the EPROM, and EPROM kind of operating structures. The team was working back and forth well between the old infrastructure kinds of products and the technologies kind of products. I think what really brought it to ahead for me was, I didn't feel like the rate of deployment and the rate of adoption of improvements in our new Smart hydrants was happening fast enough. So things like bought are redesigned so that you could house more electronics, things like the hollow stem for housing the batteries and housing the Bluetooth circuits, things like that. And you realize the team was still trying to do their day jobs and be responsible as a product manager for making sure that this customer got there five and a quarter inch Super Centurion and kind of on the side also, make sure they were doing the right thing for a smart hydrant. But they weren't being centered on that. They were being measured on that because that was an infrastructure and all the technology-enabled products were in technology.  So I wanted to get all of the alignment, if you will, of the management incentives into common channels for common products. And so when you think about Hydro-Guard, when you think about Spark Hybrids, when you think about transducer-enabled repair products like a coupler that one day will probably have a flow meter on it, certainly a temperature probe or maybe even a pressure monitoring point, when you think about a control valve that is now going to vary pressures dynamically based on what flows are or based on what pressure drops are up the line, and you start putting some of these smarter abilities into traditional infrastructure products.  I wanted to get all of those families into a signal management structure. That's why we did it. We didn't do it for the financial reporting -- didn't drive that decision. What drove the decision is the rate at which we will hold people accountable to develop products and bring them to market. That's really why we changed the structure. That's why you see control valves, hydrants, and hydro guard coming out of the old traditional infrastructure product line and putting them firmly in the management stack of the guys responsible for software, and of the guys -- ladies and guys that are responsible for all of our AI initiatives and analytics initiatives. So yes, that was what the restructuring was. As a matter of fact, after we contemplated the restructuring as an ELT, that's where Martie came along and said, hey, look if we're going to run the business like this, I got to look at what our reporting looks like and I think she did a good job of saying, if this is what the management structure looks like, if this is the information you're looking at to make decisions than we're going to have to do the reporting this way.
Bryan Blair: Okay. Helpful color. Thanks again.
Scott Hall: Thank you.
Operator: Next question is from Brent Thielman with D.A. Davidson. Your line is now open.
Brent Thielman: Hey, thank you very much. Congrats on a quarter. Scott, maybe just on the new residential market, you talked about you've certainly had some of the disruptions builders that's had to deal with, as well as just in terms of getting new homes to completion. I guess question is, do you think you've been relatively isolated from that though, just because I would think they don't want to wait to start that next development, which is really where you coming into play, or have you seen that process slow as well?
Scott Hall: I don't think we've seen it slowing. I think a lot of inventories ready for -- as everybody on the call should be reminded that we're early in the development process. We go in when the curb and sewer goes, not when it how pose a permanent we use that kind of as a surrogate, for the health of construction market. But developed water inventories are low. And so I don't -- I think if anything, it's the opposite. That we're enjoying, maybe a little bit better development environment in this last couple of quarters, than perhaps you've seen in sell-through for the builders. Because I do believe they're trying to build -- develop a lot inventories, over these past six months, because they have seen it as a constraint to entering into new contracts. I do think we saw a pause.  There was a short time there where, consumers were unwilling to get into variable priced housing construction contracts where they didn't know what their lumber costs were going to be or they didn't know what their spent costs is going to be. But for the most part, that seems to have passed now. It seems like the builders are able to get orders and contracts in place. And so I think they are bullish remain bullish on developing lots.
Brent Thielman: Okay. Appreciate that. And I think about this in context to the guidance, Scott and Marty, but which doesn't reflect I guess, the cost assumptions sort of worsen or with raw material costs assumptions. And it looks like prices for some of your variable inputs rolled over a bit recently. But then you've got things like fuel, which impact the foundries, wage growth, etc., kind of moving higher. How do you look at the net impact? Have these various cost today if we sort of topped out for now or on a net basis, are cost still moving up, maybe from a quarter ago?
Martie Zakas: Yes. I think you've laid out some things that certainly are part of what we're looking at. I think we've spent, I'll say, a fair amount of time talking overall about inflation related specifically back to the raw materials as well as our purchase components. And we've probably seen scrap creep up a little bit more, but expectations are that we start to see some stabilization in the market with respect to those. But I think calling out, for example, energy, I know we called out energy as a higher cost for us in our fourth quarter given our production, particularly the foundries we were producing as we were incurring some of the peak-level energy costs. And I will tell you that it's something again, we experienced first quarter. And our expectation is that overall higher energy costs is something that we will continue to experience. We'll also call out freight costs. I think in combination with that I think we have seen and expectations will continue to see higher freight costs.  And that certainly get a -- reflects back as well on a lot of what we're seeing with supply chain disruptions, with the challenges of labor, timing of need to get material, etc. So I would expect that we'll continue to see higher freight cost as well. I'll also call out higher labor cost. I think again, the inflation that we're seeing our expectation is our labor costs will be higher going forward as well. None of those hit the magnitude of the raw material and product inflation that we've seen, but are -- some of what we think about as we look into our 2022 is that we'll see some generally higher inflation around those inputs as well.
Brent Thielman: Okay? Maybe just lastly, I mean, with all the price initiatives, you had to implement, as well as the industry, kind of the overall afford cost pressures and construction market overall, I guess I'd think your [Indiscernible] end users would be more sensitive to that. I guess any feedback through the channels about what they're saying as they try to manage budgets on a go-forward basis.
Scott Hall: I think that there's sophisticated municipalities out there with supply agreements, both with distributors that we use, and those supply agreements we're using the negotiating windows, using the index language, things like that for increases, as I mentioned when I was talking at the entire market. The rest of the people in the spot market, which I would say is the majority of the sale market. So it's either spot job, or just spot usage for most of the utilities. They're infrequent enough that they're not -- there's nobody out there screaming. And they all understand the challenges, and so their expectations expectation is that they will pay tomorrow, a little bit more than what they would pay yesterday. And I think that we've managed as an industry, those expectations well, because we have been transparent about what things look like both in the scrap market, what happened when the tariffs get put in place by China, by our government for Chinese products. What are the drivers of costs? What is the cost of a container being held off the coast in Long Beach now? And so all of those things, I think, are well understood, are well-documented. And so when we're talking about what the impact on price is and what the impact on price going forward needs to be, I don't see a lot of resistance. And I believe that the market is rational and will continue to behave that way.
Brent Thielman: Encouraging. Thank you for taking the questions. Appreciate it.
Operator: Next question is from Walter Liptak with Seaport. Your line is now open.
Walter Liptak: Hey, thanks. Good morning guys, and good quarter. I wanted to -- you guys have talked about this a little bit already, but I wonder about the distributors just pulling forward inventory just to get ready for the construction season. It seems like the revenue this quarter was a little bit more -- are seasonably high. And I wonder, in next quarter, do you have expectation for a normal seasonal uptake from here, or do you think there was a little bit of pull-forward in this quarter?
Scott Hall: Look, I think that what we've seen, and when you listen to the ones that are public anyway, you have to ground yourself, Walt, and go back to pre -pandemic, post-pandemic and look at what inventories were pre-pandemic and look at what inventories are now. Take the inflationary impact out and say, are they able to service their customers as well as they were servicing them pre-pandemic? And what you get is all rough math, but you can get all those indexes pulled together and say, okay, we've had this kind of increases in price, so their inventory would be up this much just on price alone. And I think what you conclude is -- I wouldn't call it buy-ahead as much as I would call their service model meeting to get back into stock positions that they depleted just as we depleted. The whole industry, basically pause when the pandemic started, we took inventories down, we took labor headcount down. We took capacity out of the system. And then basically in what was our fiscal Q4, there was a view recovery in the construction market and we've been running, playing catch-up as an industry ever since then. And so I don't believe there is a loss of buy-ahead, I think is our Lead times creeped out. They were forced to them place orders for those windows, and that's why the backlog is almost become a little bit of a self-fulfilling prophecy as a result of lead times going out. But I do believe that there is enough underlying demand in the distribution channel for them to utilize what they have on order. And I believe that the municipal end market environment is such -- is hot enough that they won't have any problems burning off the orders or burning off the inventory if there's any excess there.
Walter Liptak: Okay. All right, great. That sounds good. I wonder too about the -- with the stock price down, you guys did a little bit more share buyback than we thought. I think you guys were going to do about $10 million for the full year, and it looks like you got $20 million. You have that authorization out there. What's your expectations on share repurchase for the rest of the year?
Martie Zakas: Look, I think when we -- we really take it back to our capital allocation, I think we characterize it as being disciplined and balanced. We look at it a long different lines, certainly returned to shareholders, which encompasses our dividend, as well as share repurchase. Our Board did increase our dividend with -- last November. Share repurchase has clearly been a component of that as well. We certainly have the reinvestment in the business from a capital expenditures perspective, as well as certainly looking at M&A opportunities for growth. So I think going forward, we had a -- we have a $115 million authorization at the end of our first quarter. And I think as we continue to look at capital allocation, we will continue to look it across those three opportunities.
Walter Liptak: Great. Thank you.
Operator: Our next question is from Joe Giordano with Cowen, your line is now open.
Michael Anastasiou: Good morning. This is Michael [Indiscernible]
Scott Hall: Hi, Mike.
Michael Anastasiou: I believe you'd see if to say results this past quarter were higher than most of us probably anticipated. How should we be thinking about cadence over the next few quarters, and potentially explain in 2023?
Scott Hall: Yeah, I think the way we've put the guidance, Michael, is 6% to 8% kind of unity, if you will, on EBITDA on sales growth. We're not going to get back on the plus side of the negative price cost just for everybody's benefit. If your costs increase $1, and your margins are 30%, I think you need a $1.33 or something like that in order for your -- in price, in order to maintain your margin not have just the cost increase recovery become [Indiscernible]. And so I think we -- we're looking at timing. We're looking at what we expect our through-puts to be.  We're looking at what the individual price and each order in the backlog is. And that is why I think that while we were -- we had though leverage and fixed cost, and no operating leverage. Results in the first quarter, even though we had really good flow-through on the increment that we've been kind of cautious about what the second half looks like from, a flow-through perspective. So I'm not sitting here saying excuse me -- I'm not sitting here saying that we haven't got all of the inputs under control? But I think that there's enough variation coming in the second half and there's enough unknown about both the demand environment in our Q4 and where we are going to be in throughput and labor costs that I think that we have in front of us, the challenging operating environment. So I would say the cadence is the second half ought to be better on flow-through than the first half. Q2 going to be from a margin point of view, when you think about how inventory revaluations from high inflationary periods impact the income statement in Q1, as that get the amortized in Q1 I would expect a little margin compression in Q2, and then back to expansions in three and four. I think that that's the cadence that you would expect to see over the next three quarters.
Michael Anastasiou: One more if I may mentioned commitment towards inorganic growth to expand the portfolio. Can you give us any insight into the products and markets you see as most favorable and if there's any geographic considerations there, thank you.
Scott Hall: Yes. So I think that -- for sure. I think in Martie's prepared comments she outlined that the products associated with infrastructure distribution network like gate valves, hydrants, and then the repair and return, repair and installation market, all experienced double-digit growth. We expect them to continue to have these growth numbers. And I think you'll see the valves that are used in the distribution network and the hydrants in the distribution network will experience a lot of growth as you see what happens in '23 and beyond resulting from the infrastructure bill. So I think there will be a lot of tailwinds there on demand.  As for your geographic question, all you have to do is look at the migration of people in the country. American Southwest, American Northwest, American Southeast, that's where all the growth is. That's where all of the population movement is going. I think we have pockets in the Northeast like New York City, like Boston, parts of Vermont, and New Hampshire that are experiencing some population growth, but the vast majority of new construction in that Nashville market in that Utah, Denver kind of core door. Those are where all of the builders are clustering and certainly that's where you see all a lot of our growth.
Michael Anastasiou: Thank you.
Scott Hall: Thank you.
Operator: Our next question is from Brian Lee with Goldman Sachs. Your line is now open.
Unidentified Analyst: Hi everyone. This is Miguel in for Brian Lee. Thanks for taking the question. I just wanted to be in touch on the new segmentation. When you're thinking about this year, but mainly beyond when we get out from these special inventory, and then cost dynamics happening this year. Is there anything notable or new on what we should expect in terms of, a more normal seasonality for each of the segments versus, what we've seen historically for maybe the old infrastructure and technology segments?
Scott Hall: I don't think it's going to change that much because I think the spending patterns for the industry tend to mirror our patterns, which is our months between April and November are when the vast majority of water utility work gets done and that's because so much of it is done underground. I think that you'll see a lot more winter work, for lack of a better word, in things like water treatments or pumping centers. But the long and the short of it is the bulk of the investment in our customer base is going to be made disproportionately in the summer months and the spring -- spring, early fall, so that you haven't got the deal with frozen ground. I expect we'll have less seasonality in the electronics and software driven business. But, I think even in the most aggressive forecast for growth in that particular area, we'll still only be less than 20% of the spend. That's getting associated with water utilities. So I would expect to seasonality to remain pretty constant.
Unidentified Analyst: Awesome. Thanks. It's very helpful. And then second one and I can pass it on. How do we think about margins for the new segments just based on the historicals that you guys put out for the two segments? It looks like Water Flow at higher margins than the Water Management and Water Management noticed that adjusted operating margins were just a little bit down this quarter, so when does Water Management kind of gets back to -- I think I saw 16% operating margin in 2020 and Water Flow at 20% adjusted operating margins. Does Water Management grow to be in line with Water Flow? Just trying to think about the two in relation to each other?
Scott Hall: Yeah, I think in the longer it will grow. But I think in the short-term the supply chain challenges we were referencing in the production control valves along with supply chain and labor challenges associated with the meter business were the two big detractors in water management for the quarter. The other dynamic that we have going on there that we think is going to be, let's call it rectified, here in -- during the second quarter, maybe some plead on impact into the third quarter is this notion of substitution. The shred and plate scrap market have been very tight, and we have been substituting some porcelain scrap for fortunately, a lot more expensive than plate and threat. So that also impacted the Alphaville facility. So I think we have large CapEx in Water Flow that's paying some dividends, but yes. To answer your question, we will get back to parity and hopefully, at some point 3-5 years from now, you will see the applications business people more profitable than the, corpus's are the focus.
Unidentified Analyst: Okay, thanks, that's very helpful. Thank you.
Operator: Just a reminder, if you would like to ask a question over the phone, [Operator instruction]. Next question is from Andrew Buscaglia with Berngiler. Your line is now open.
Andrew Buscaglia: Morning, guys. Just one for me. You talked about capital allocation and M&A, and now they've got this new segmentation. I guess if you -- where's the interest lie with M&A in terms of reduced the -- your next deal being more of like kind of a crowds like deal or something like in technology that will benefit the Water Management side. I guess what's your hunch? I guess it's been based on maybe like what the pipeline looks like at the moment.
Scott Hall: Yeah. I think that the bolt - ons in the valve business areas that we don't have geographic expansion, those are all viable strategies for what you would define as the water flow business. And we have a fulsome pipeline there that we would consider. For the sensing side. And on the technologies, software, workforce management, kind of integrating supply chain if you will, for water utilities. So that when you identify a leap than the right repair equipment gets here and those kinds of an enabling technologies are all things we're interested in on the acquisition side for that side of the business, and of course geographic expansion there as well. And so long story short, I think we have a lot of people that we're interested in. We've got to find the right fit at the right price, and it's got to work for who we're acquiring and work for us. I think there are suites out there that we do covet, and that we're going to have to think long and hard about where the sources of synergies can come from so we can meet some of these multiples.
Andrew Buscaglia: Is there -- are you sensing any meaningful change, I guess, in the last few months with -- I don't know, just in your conversations just based on all the challenges we're seeing across the -- yeah, just the supply chain issues? And I was wondering if that -- I was wondering if this year ends up being a year where you see a break -- a breakout in M&A. I don't know, just based on your tone when you're --
Scott Hall: Yeah, I don't think so. I think that exactly what you said is that, if anything that the complexities that have been introduced this year as a result of supply chain complications. As a result of some of the geopolitical stuff going on, has made in uncertainty a little bit higher. So I think that as far as breakout years go for M&A, with where we are with nine months or eight months left in our fiscal year, I think that the pipeline is full, but we have we have our operating challenges as well, that are also going to take management time.
Andrew Buscaglia: Fair, okay. Thanks, Scott.
Scott Hall: Great. Thank you. All right. Thanks, Operator, I'd like to thank everybody for joining us on the call today. I think if I haven't said it, I want to make sure everybody understands. I'm pleased with the solid start to our year. As we work through our ongoing operational challenges, I think while price costs has been challenging for the last four quarters, we are in a great position to improve margins as we benefit from the steps we took in the price increases in previous quarters. But I think the teams continue to focus on improving our operations on a daily basis, very customer focused, very much in tune where they are from an operational needs absenteeism, labor coverage, those kinds of things, and taking the right steps. I believe we are well-positioned for continued growth given the accelerating impact from aging infrastructure, the government stimulus focused on repairing water networks and improving operations, including the benefits from our large CapEx investments. And I'm excited about the path we're on to become a sustainability leader as evidenced by our second ESG report, which showcased our rapid progress and improves the long-term trends and goals that I think that we need to. I think in closing, we're confident we're creating a stronger foundation for our future growth, and that we have the right strategies in place to expand our presence in the market. And so I'd like to thank everybody for joining us again. And I'd like to thank you for your continued interest and with that Operator, please conclude the call.
Operator: Thank you. This concludes today's call. Thank you for your participation. You may disconnect at this time.